Operator: Good morning, ladies and gentlemen, and welcome to the Champion Iron Fourth Quarter and Year-End Results for the Fiscal Year 2023 Conference Call. At this time all lines are in listen-only mode. Following the presentation, we will conduct a question-and-answer session.  This call is being recorded today Wednesday, May the 31st 2023. And I would now like to turn the conference over to Michael Marcotte, Senior Vice President of Corporate Development and Capital Markets. Please go ahead, sir.
Michael Marcotte: Thank you, operator. And thank you everybody for joining our call to discuss our fourth quarter and fiscal 2023 results. Before we get going, I'd like to turn everybody to our website at championiron.com, where you can find the presentation under the Events and Presentation section, that we'll be discussing today. Also like to mention that throughout this call, we'll be making forward-looking statements and you can read more about our risks and forward-looking statements in our MD&A also available on our website. I'd also like to highlight that every number that we'll be discussing on the call today are going to be in Canadian dollars unless otherwise stated. And now with that said, I'll just introduce you to people in the room here with us. So David Cataford, our CEO, who's going to be going over the formal presentation today and the Q&A. Closing remarks will be held by our Chairman, Michael O’Keeffe and we also have other executives here in the room including Alexandre Belleau our COO and Donald Tremblay our CFO. With that, I'll turn it over to David.
David Cataford: Hi. Thanks, Michael. Thanks everyone for being here. Very happy to be able to discuss this past quarter's results. If we look at the highlights for the quarter, I think the one element as we had mentioned in the past, we got most of our mining equipment delivered and assembled as well. So, we're starting to see the results from this and we managed to move quite a lot more materials in the mine and which allowed us to continue a ramp up and produce close to 3.1 million tonnes during the quarter. So, another record that we've managed to hit, and well on track to be able to reach our full nameplate capacity run rate by August of this year. Also happy that we're continuing our capital return strategy and declared our dividend of CAD0.10 at the -- after the Board meeting yesterday. If we look in terms of sustainability, another highlight I think is the fact that we had no major environmental issues since 2018. So, all of the investments that were made at site and that we continue to make every year allows us to keep the site safe in terms of environment and allows us to have a great environmental record. Also, I would like to highlight the fact that the teams have done a fantastic job even if there was the end of COVID, and also a pretty heavy construction year with the Phase II ramp-up and also finishing all the work, which allowed us to have a very good safety record. So the teams did a fantastic job to make sure that we can keep everybody safe at site. In terms of community and sustainability, one of the highlights during the past few weeks is the fact that we hosted three Quebec ministers at site: the Minister of Economy; Minister of First Nations; and also Minister of Employment. So it's great to host one of our larger shareholders at site, the Government of Quebec and to continue to have their support as well. So interesting to see their perspectives and allow them to see all the great work that we're doing at Bloom Lake. In terms of ESG, also very proud to say that we've delivered and published our 2022 Sustainability Report where we align ourselves with the GRI, SASB and TCFD. So the team has done a fantastic job in making sure that we can disclose properly all the great work that we're doing in ESG, which allows us to have a great rating, compared to certain of our peers, and allows us to have a very good environmental and ESG record published. If we look at the market, you saw probably in the month of January, February and March the iron ore price rally. So, it went up by about 27% for the P62 and 23% for the P65. And we also saw the freight rates decline by about 12%. So freights have been in a pretty good price now even if these were the winter months where it typically costs us more at Bloom Lake, but as you'll see, we managed to have a pretty good freight rate during the quarter. So, if we turn to our actual operations as we mentioned, one of the highlights being the fact that we produced close to 3.1 million tonnes, continuing our ramp up to be able to be at full nameplate capacity run rate by August of this year. And also the fact that we moved 1 million tonnes more in the mine, so you could see that the mining equipment that was delivered and assembled is ramping up as well. And we're in good position to be able to move the material required to be able to hit our nameplate capacity. So the mine is in a healthy state you probably saw our strip ratio also increased slightly. We're now pretty much in line with the targets for the year. We did have a small backlog accumulated in the past quarter, but that will be able to be smoothened out over the next years. And we do feel that the mine is in very healthy shape to make sure that we can continue our ramp-up and deliver after that our full nameplate capacity. In terms of Phase II, as we mentioned, the ramp-up is continuing. The issues that we had were the delivery of mining equipment and also some work that needed to be done on the crushing facilities. If we just go back a few years, I think it's important to note that we did have a few quarters when we started Phase I that we had more difficulty on the crushing side. If you remember, we had a  (ph) that was not performing, we were not delivering the tonnes, and the team quickly found a solution, implemented the solution, and we've never talked about that since because that's behind us now. We're doing the same now with our Phase II on the crushing facility for the Phase II. So, we did have some hiccups during the past quarters. The team has found the solutions to be able to solve this, have implemented most of them, and continuing to implement the others during this quarter now to allow us to hit our full nameplate capacity. And the final piece of the puzzle was the logistics. We do have some third-party logistics, either on the rail and at the port. And what we can say on this is the fact that the new stacker reclaimer is now operational, not at full capacity, but its operational at the port of Sept-Iles. I was there last week and it's a very impressive equipment to be able to see in operation, the largest stacker reclaimer in the Eastern part of North America. So, a very great equipment that is just finalizing the ramp-up now. And also we had three locomotives that had to be delivered. These locomotives are now in  (ph) just across the river from Sept-Iles, and will be delivered in the coming days. With all these elements, we're still pretty confident that we'll be able to reach full nameplate capacity run rate by August of this year. In terms of financial highlights, well, we generated quite a lot of revenue in the past quarter, which allows us to continue working on our growth strategies and at the same time allowed us to declare a CAD0.10 dividend continuing our capital return strategy with our shareholders. If we turn over to cost in terms of the financial elements, so you could see that our cost have pretty much peaked now in this past quarter. Realistically, we started seeing some benefits associated to the higher production that was produced at site. But we did have some inventory that was still at higher prices and that were sold during the quarter. So, that's why you see a negative on that side, and why our costs have increased slightly, compared to the previous quarter. But as we continue our ramp up, and as you've also seen diesel prices correct, we do feel that we'll be able to get our costs lower than what you've seen now, and get them back in line to where we had expected in the coming months. So, very confident we'll be able to continue reducing our costs in the coming months. In terms of provisional price adjustment, so we did see a positive provisional price adjustment. We had forecasted about $130 per tonne, delivered tonnes that are around $136. So that gave a positive provisional price of roughly about $3.4 per tonne. One thing to note though is that at the end of the quarter, on 31st of March, we had booked tonnes at $140 per tonne, and since then the price has declined. So, we can expect a negative provisional price adjustment in the next quarter. But, keep in mind that a portion of those tonnes that were not sold are going to the Japanese market, so will be subject to backward looking, so that impact won't be as big as if we had all of our tonnes that were subject to forward-looking. In terms of the average realized selling price, so as we mentioned the freight rate even if it was the more costly months, so January, February and March where we typically have larger ice premiums, where we typically have higher costs for the shipping, we managed to secure all over ships for an average of about $$28 bucks per tonne. And when you look at the Canadian net realized price, managed to reach about CAD150. If we look at cash, so your company is in very good health right now. We essentially doubled our cash in the previous quarter going from CAD166 million to about CAD327 million on the 31st of March. That increase in -- of cash, and if we also include the working capital has put us in a net cash position. So we went from net debt to net cash. So you can see that the company is in very good health to continue our dividend strategy, but also to allow us to continue our growth strategy at the same time. If we turn our focus to growth, one of the highlights in the past quarter is the fact that the Board has authorized an extra CAD52 million spend for the DRPF Project. This allows us to keep our timeline of August 2025 to deliver our first tonnes of 69% material. Just to remind everyone, our target is to be able to take half of the tonnes of Bloom Lake, so essentially all of the Phase II tonnes, build facility beside the Phase II or an expansion to the Phase II project, and be able to increase the grade of 7.5 million tonnes to 69%, allowing us to sell into the DR market. Why is this important? Well, the DR market is one of the market that's growing the most in the world right now. There's more projects that have been announced and are being built in the next years than what has been built in the last 20-years. So it's interesting to see that there's quite a lot of facilities being built to the extent that there is a deficit or targeted deficit of more than 100 million tonnes by 2030. And every month, we're continuing to see new DRI projects being announced, but we don't see any new supply. So that's very interesting to see this dynamic, because we do feel that what we forecasted as premiums is conservative in terms of the DR market, and we do feel that's going to be an extremely accretive project for all of our shareholders. Another element that's interesting as well is that to be able to do the energy transition, there's quite a lot of steel that's required. Steel is one of the only metal that's required in any solution that you potentially have to be able to convert a dirtier energy into clean energy. The study show that there's over 3.5 billion additional tonnes of steel required by 2050 just for the decarbonization of the power sector. And one interesting fact as well is that, most developed economies, governments typically have a pretty big role in this power generation. And, it's very difficult to imagine that these 3.5 billion additional tonnes that will be used to be able to decarbonize the energy will be done with dirty steel. So and more likely, they will require greener steel to be able to build this infrastructure to make sure that it's not a hypocritical way to be able to do the energy transition. So this also potentially creates more demand on the cleaner steel by different government bodies around the world and different energy suppliers. Just to remind everyone as well, the interesting element is the fact that the tonnes that we produce allow the steel industry to decarbonize. So, to the extent that for this project to be able to decarbonize the power sector, while it's over 7 billion tonnes of CO2 emissions that would be produced if we use the typical route to make steel, if we use the DRI-EAF route and using tonnes from Bloom Lake to be able to supply this, it's nearly half the CO2 emission that could be reduced in this steel-making to be able to decarbonize the world. It's always interesting to decarbonize elsewhere, but what's also important is the fact that at Bloom Lake, we do have one of the lowest CO2 intensity iron ores in the high-grade space in the world. So, very proud to say that the investments that were made at site allow us to be a leader in terms of CO2 emissions per tonne of iron ore produced. And also finally, I think it's important to note as well that our two other main projects either the Kami project and the pelletizing facility in Pointe-Noire, we are continuing our feasibility studies and still on track to be able to deliver the results by the end of this calendar year. So, even if we are finalizing the ramp up of Phase II, working on our DRPF project as well, we are continuing the other growth potentials within our company to be able to create more value for our shareholders in the future. With that being said, I would like to thank all of our staff and the teams to be able to deliver these results that you see in the document now and more than happy to answer any questions or comments from the people on the group.
Operator: Thank you, sir. Ladies and gentlemen, we will now begin the question-and-answer session.  Your first question will come from Orest Wowkodaw at Scotiabank. Please go ahead, sir.
Orest Wowkodaw: Hi, good morning and thanks for having the call. You made a comment earlier about Phase II reaching a targeted nameplate around August of this year. Does that include the ability to ship at that level at the 15 million tonne level, because there is certainly some disclosure in the release about delays on the locomotives impacting, I guess some mismatch between production and sales. Just wondering how long you expect that mismatch to continue beyond August or at that all.
David Cataford: Yes. Thanks, Orest for the question. So our view is that this will be solved by August, so the fact that the stacker reclaimer should have been in operation, but it's not fully in operation yet, and the fact that we did not receive the locomotives that were supposed to arrive is the reason why that's been disclosed, call it, at the end of the 31st of March of last year, but now I think the positive element is the fact that the locos are just a few days away from the site. They're fully operational. It's going to take a few weeks just to get them to the right level at the -- and integrate it into the site, but that should be completed before the end of June. And the stacker reclaimer, it's operational now. I saw it working last week. So I can say that it's fully operational, but it's not operating at its full target right now. So that's being ramped up gradually as well, but we do feel that by the month of August that will be solved, and we'll be able to have no disconnect between the mine and the logistics.
Orest Wowkodaw: Okay. That's perfect. And then just following up on the direct reduction pellet feed project. When you came out with the feasibility results, you mentioned that a final investment decision was contingent on securing additional power and non-dilutive funding. Can you give us an update on both of those in terms of where those sit?
David Cataford: Yes. Thanks for the question. So Donald, our CFO, is finalizing the work to be able to put the non-dilutive financing package in place. It's going to be a similar thing to what you guys saw for the Phase II, so we might not even have to draw any of this. We do believe that we'll probably be able to pay this out of cash flow. But we do want to be on the conservative side and make sure that we have all the funds available in case we require them during the construction. So that we don't see any hurdles to be able to deliver that. And when you look at the power allocation, so in Quebec, they took a little pause to make sure that they can prioritize the different projects. That's been announced by the Minister of Economy. And they've also put a list out to make sure that when they allocate power, it needs to help decarbonization. It has to be in a productive manner, and it has to have significant returns for Quebec, while also having a link with local communities and First Nations and the fortunate thing is that we take all four of those boxes. When we look at the time frame that the government has announced for power allocation, they did mention that at the end of June, beginning of July is when they would do the first round of allocations of power. So we should be able to update the market at the next investor call on that. But we feel pretty confident that we'll be able to secure the power required to be able to do this project. Hence, why the Board has allocated an extra CAD52 million to maintain our time line of August 2025.
Orest Wowkodaw: Okay. That's perfect. And just as a follow-up on that. The CAD52 million, is that what you're committing to basically between now and the end of June? And how much was spent in the quarter that just finished of the original CAD10 million?
David Cataford: Yes. Not much has been spent. So the way that we do the allocation is that we commit more funds than we actually spend. And before we can actually commit, we want the approval from the Board. So in the past quarter, very little has been spent, but we've committed to some engineering. And now the CAD52 million, we're actually going to secure some long lead items and allow our suppliers to start building them. So that way they come on site at the right time to hit that target of 2025, but that CAD52 million allows us to go well beyond the summer to make sure that we have enough time to secure the power and also do the non-dilutive funding. So that's where we're positioned right now on that project.
Orest Wowkodaw: Thanks, very much.
David Cataford: No, thank you, Orest.
Operator: Your next question comes from Lucas Pipes at B. Riley Securities. Please go ahead, sir.
Lucas Pipes: Thank you very much for taking my question. Good morning, everyone. I wanted to ask a little bit about the DR grade market. And I wondered if you could size up the market today. And then you mentioned there's a lot of DRI/HBI capacity under development today. And I wondered if you could give some numbers around that, what do you see under construction today. Thank you very much for your color on that.
David Cataford: Yes, thanks for the question. So what we're seeing now is there's quite a lot of projects that have announced some DRI facilities or that have announced the AFs and are now working on securing some DRI. So the interesting thing is that we're seeing quite a lot of push out of Germany. We're seeing quite a lot of push out of the Middle East. Just in Oman, there's quite a lot that has been announced over 10 million tonnes that is now being studied in the DR market. Remind you, the merchant market today is roughly about 30 million tonnes. So just an extra 10 million tonnes is pretty significant in the market. And it typically requires over 1.5 tonnes of high-grade iron ore for every ton of DRI that you want to produce. So there's quite a lot of demand that's actually coming. When we look at actual projects, we could offline, if you want, go through a list of all the different projects that are now being built, but I'd say the main regions where they're looking at this is in Europe, in the Middle East and what we're also seeing in China as well. So they're the main hubs where we're seeing the extra DR material being announced. But the new capacity under construction now is roughly about 100 million tonnes or that has been announced and that will start being built short-term, roughly about 100 million tonnes that's 2.5 times the current merchant market in terms of DR grade.
Lucas Pipes: That is very helpful. Thank you sizing that up. And as a follow-up and excuse my ignorance, but you have lower grade iron ore regions in the  (ph), for example, like what would it take to beneficiate that material to be DR greatest that technically feasible or it's just not economical would appreciate your perspective on that?
David Cataford: Yes. When we take a little step back and look at, let's say, the last 10-years, if you average out the premium just for the high grade for the 65% material, it was high enough to sanction projects if they made sense at least that's, in my opinion, when you look at premiums in the order of magnitude of about $20 per tonne for beneficiation, it well offsets the potential infrastructure cost to be able to do this. But if you take a step back, if you look at processing material that is so fine in terms of liberation and that have quite a lot of contaminants, it's not clear that this is actually something that will ever happen, because if you want to do high grade, you need to permit tailings facilities. You need to have those tailings facilities built. You also have different kind of logistics because then you have to use quite a lot of water. And by using water, you need water treatment plants, and you also need to remove the water from your material. We're very fortunate that the Labrador Trough, especially where we operate from, we have very course liberation, which means that our concentrate is basically sand. Other areas around our sand-lake size, so to remove water from sand, it's fairly easy. When you have powder-like material, which is pretty much what will be required in the Pilbara, well then to remove water is more complicated to remove water from powder is more costly, more energy intensive and much more difficult. So all in all, when you look at the tailings requirement, the power requirement to be able to grind down the material and then to process it, and then the more complicated logistics associated to it, it seems like a more difficult proposition to upgrade Pilbara material into high grade. And even if you'd be able to upgrade it to high grade, which is still blast furnace material, it's unclear if they would ever even be able to achieve DR grade. I mean, the Labrador Trough is a unique type of material that allows us to get to a course DR grade material, which I think is key for us to generate futures in the future -- generate returns in the future. And when you look at the contaminants that we don't have, while we combine aluminum fast, it's not clear also they would be able to remove those from the concentration. So then you'd still be stuck with high-alumina and high-phos in your material.
Lucas Pipes: That's very helpful. You can't change geology. A quick follow-up question. You have some peers in the region. Are they -- are they investing as well? Or would you say you're a little bit unique in going against the grain, just maybe given the broader macro headwinds on the iron ore front, I would appreciate your perspective on that.
David Cataford: Yes, it's difficult to see a lot of potential expansions in the region. So when we look at 1 of our neighbors that has their own rail line in Quebec, they're pretty much constrained in terms of logistics, and we haven't seen any investments yet to be able to increase that portion. So we haven't seen any capacity increase come recently or in the past years. Unclear where it will be in the future. But remind you, there's quite a lot of room if they were to expand because it does seem like the right region where you want to produce this type of material from. Then when you go across the border to the other project, we have not necessarily seen any expansions yet. Will there be some in the future, maybe. But again, I think the important thing to highlight is the fact that we're looking at a 100 million-tonne deficit in the coming years. And even if there was some expansions, there's quite a lot of room to be able to take more tonnes from this region.
Lucas Pipes: Very much appreciate the color and perspective. Thanks, again and best of luck.
David Cataford: Thank you, sir.
Operator: Your next question comes from Craig Hutchison at TD Securities. Please go ahead, sir.
Craig Hutchison: Good morning, guys.
David Cataford: Hey, Craig.
Craig Hutchison: With respect to the pricing that you guys could ultimately receive for the DR premium, do you envision a scenario where you guys could receive some, kind of, carbon pricing premium on top of the price that you guys already assumed in your feasibility study?
David Cataford: Yes. Great question, Craig. So right now, we've not priced anything associated to that. But if you just take a step back and you look at the amount of CO2 reduction that a project like what we're doing, will allow steelmakers to benefit from you're talking about roughly about 5 million tonnes of CO2 emissions for the current DRPF project that we're working on. You could put the carbon price that you want on that, but if you put EUR100 carbon price on that, well, you're looking at a pretty significant, I mean, EUR500 million increased potential in the market. Will we benefit 100% from that, I'm sure we wouldn't, but that does create significant upside scenario for 7.5 million tonnes. I mean you can imagine us just getting one-third of that. And just that is EUR20 increase on the revenues that we put in that feasibility study. So there's quite a lot of potential in the future. We've left that all as upside. But I do agree that there's quite a lot of potential upside in the future associated to carbon now.
Craig Hutchison: Thanks for that. And just given the demand you're seeing for DR material, do you envision a scenario say, in the next year or so where you could possibly start the second expansion to take the full Bloom Lake up to DR material?
David Cataford: Yes, definitely. So when we look at the potential that we have at Bloom Lake, it's the same material. The plants are similar. There's maybe a little bit more filtering required for that second DR pellet feed project. But it's definitely something that we have in the back of our mind because when we look at creating value for our shareholders, I do think that upgrading our material to 69% is where we'll create the most value for our shareholders. So the team right now is focused on just finalizing the different things we need to get a final investment decision for the first one. But the second one is definitely at the back of our mind, and we will start working on that pretty quickly, because I do feel that's the next big potential that we have.
Craig Hutchison: Okay, great. Maybe one last question for me. Just on freight, you talk about the freight market, are you guys locking in any vessels or any kind of future contracts at these prices or maybe certain volumes that you're locking in?
David Cataford: Yes. Thanks for the question, Craig. So we definitely are trying to lock in some pricing now. There is a little bit of upside in terms of pricing potential. But realistically, if we lock in prices when the C3 is about $19, $20, I think it's a great thing. In the past few quarters, the market was reluctant to be able to secure pricing longer term. But now we've seen that shift a little bit, and we are working with some of our freight suppliers to be able to lock in some prices. We don't have much done yet. So it's tough to update the market on that. But we are in discussions -- pretty advanced discussions with the lot of groups to be able to secure some vessels in the -- not only near, near future, but also medium-term future.
Craig Hutchison: Great. Thanks guys.
David Cataford: Thank you, Craig.
Operator:  Your next question comes from Brian MacArthur at Raymond James. Please go ahead.
Brian MacArthur: Good morning. So just following up on Craig's question. Obviously, you're getting much more positive about upgrading 69%, maybe the second 7.5 million tonnes. Does all this change, I don't want to get too far ahead, but does all this change your thinking longer term about where Bloom Lake 3 might come in ahead of Kami or the Pellet Plant?
David Cataford: Yes. Thanks for the question, Brian. So when we look at the future, Bloom Lake 3 or Kami, we're looking at similar type materials. So these are some of the highest grade ore bodies in the world. Kami is one of the best iron ore deposits, undeveloped iron ore deposits in the world. So a lot of people talk about , but I mean it's still material that's targeting blast furnaces. It's not material, that is the solution to be able to decarbonize the steel industry. So Kami is definitely a great potential for us. And when we look at the next steps, I do feel that the DR pellet feed to Phase I might be a little bit ahead of the pelletizing facility down in Sept-Iles. I mean, it doesn't change the fact that we purchased the best site in Canada to be able to develop pellet plant. So I do feel that at some point, this will be developed. I do think the market will need DR pellets, and we will have sufficient DR material to be able to benefit from those premiums. But shorter term, when we look at our current DR pellet feed project, I do feel there's enough pelletizing capacity in the world for us to sell that as DR pellet feed. And mind you, that's another advantage that we have when we look at the Bloom Lake material is that we can actually sell this as DR pellet feed and with a very low moisture content and be able to manipulate it fairly easily. We don't have the issue of having powder-like material that either we have to pelletize or becomes a nightmare for our clients when they unloaded at their ports and then have to manage the dust associated to this type of material. So I do feel that, one, the DR pellet feed is the best project. Kami becomes extremely interesting as well, because it can also deliver DR quality material and the pelletizing facility is a great option for our shareholders, but might come a few years down the line now.
Brian MacArthur: Right. But could you -- would Bloom Lake -- you sort of say Bloom Lake Phase 3, if I call it that Kami or similar is there any relative advantage of one over the other there, capital intensity?
David Cataford: Yes. Right now, I mean, the -- we're obviously more advanced on the Kami project and on the Bloom Lake Phase 3. Bloom Lake Phase 3 does have a challenge in terms of tailings facilities and being able to make sure that we integrate all the sites. So it has the advantage of being on a brownfield site. But I think the Kami definitely has some advantages as well that the Bloom Lake Phase 3 doesn't have. If you go back a few years ago, in the back of our minds, we thought Phase 3 is definitely a project that makes more sense versus Kami. Now that we're advancing the Kami feasibility study and understanding more the Bloom Lake Phase 3, I think they're closer and in the same range and maybe even the Kami project might have some advantages that the Bloom Lake Phase 3 doesn't have. If you look in a few years' time, depending where the demand is, maybe both get developed. But I think that the main focus for us now is really the DR pellet feed, getting the results of all our feasibility studies, assessing the market and making sure that we have a diligent capital allocation in the coming years.
Brian MacArthur: Great. Thanks very much, David.
David Cataford: Thank you, Brian.
Operator: There are no further questions from the phone lines. So at this time, I will turn the conference back to Mr. Michael O’Keeffe for any closing remarks.
Michael O’Keeffe: Thank you very much. And David, thank you for that comprehensive update. It's interesting because a lot of the discussion really for our company is about the future, and the future is green steel. And there's been a lot of noise in the market recently and coming from Vale and how everyone is chasing to try and produce the feed that's going to supply these electric arc furnaces. And either we've got it seriously wrong, which I doubt, the rest of the world is changing in a different way to where we think it's going. But electric arc furnaces are the future. And if you just cast your mind back to what built the Pilbara, it was the -- it was really the growth in blast furnaces in China. And as we've heard today from David, the world is not going to tolerate steel being produced from blast furnaces. But either there has to be a carbon capture or some other change in the way that steel produced with blast furnaces. But it’s going to be very difficult to see that going forward. So I believe we're totally right in our theory and the fact that both David and myself traveled to customers, we talked to the steel mills, about what their future is, we see the growth in the electric arc furnaces. We get our hands dirty looking at these things. So we understand that because it's our money that's -- and your money that's going into the future growth of this company. So we're very unique in the fact that we have available to our store that can be -- the verification process can take us to a 69% FE, which is unique. So we're blessed with that, but it's no surprise that we've picked up Bloom Lake and all the territory around it, including Kami, anything else that may come our way, we'll consolidate into that area because, a, we have the product, b, we have the infrastructure in the port, rail and the birth and also the people are experienced in how we take this material from a 30% in the ground to a 69% pellet feed material. So that is very unique. And for us, we see it as a -- as our future. Now if I just think about that for a moment and look at it today, we talked about the market of being 30 million tonnes, the growth in electric arc furnace is going up, but there's no feed for this. So people say, well, we'll use scrap. Well, have I guess what most countries are putting  (ph) on scrap and the scrap is getting more and more difficult to acquire and the scrap prices are going through the moon. So scrap is not going to be able to do that. So it's either blister or a DRI pellet. So DRI pellet comes from where we are, blister comes from blast furnaces. So it's a pretty simple logic. So if we just look at the numbers today, and let's take, for example, our cost, FOB cost, around about CAD57 in the last quarter. David and his team, Alex and Co working on how we bring those costs down, but they're going to be numbers that bring us down CAD3, CAD4, CAD5, but the big ticket for us, if you look at it like this. Today, the 62 material versus the 65, there's about a CAD15 premium. If you look at the 65 versus the 69, there's about a $25 premium. So you're talking about $40 that we can add to what's produced in the Pilbara, for example. So you take that off the CAD57, we're down at $17 a tonne FOB. So it's -- that's a compelling number, because it just tells you what the upside is for this material. That doesn't include any carbon benefits we could capture at all. So material, the infrastructure and the future of this material puts us in a very, very sweet spot going forward. Now if you just go back to the operations and seen, I think for us is -- or for you as investors is a proof in the pudding, we commissioned this Bloom Lake in March 2018. And a short five-years later, we've managed to bring this Phase II, Phase I, Phase II and running this operation in such a way that we're getting the recoveries and the grade that we want now I think that's a mighty thing in itself when you consider through that period we've had COVID. When you consider through that period, we've paid CAD200 million plus in dividends. We paid CAD210 million to buyback the government share in Bloom Lake, and we spent another CAD700-odd million on upgrading the infrastructure. And we've done that out of cash flow. And the last time we raised any money was in 2017 at CAD0.90 for any equity raising. So my hats off to David and his team for an absolutely magnificent job in being able to achieve what we have. But I think for everyone to take away from this is the unique situation we're sitting on at the moment to be able to capture this growth in electric arc furnaces like no one else can. So thank you all for your investment, your patience with us to get in five years. I mean, I think five years is pretty quick. But I think the next five years are going to be very exciting. And the things that Brian was talking about, what projects should we have next, I think that's a fantastic situation to be in. But for sure, the short-term is going to be take all our tonnes to 69 with Kami, there's all of the other tenements that we have, and there's other potential for consolidation. So I just say watch this space, and we'll continue creating value for your company, and thank you all.
Operator: Ladies and gentlemen, this does conclude your conference call for this morning. We would like to thank you all for participating and ask you to please disconnect your lines.